Operator: Good morning, ladies and gentlemen. Welcome to the conference for Keppel Ltd's First Half Financial Results for 2025. We have on the panel this morning. From your left, Mr. Manjot Singh Mann, CEO Connectivity and CEO M1; Mr. Louis Lim, CEO of Real Estate; Ms. Christina Tan, CEO of Fund Management and Chief Investment Officer; Mr. Loh Chin Hua, CEO; Mr. Kevin Chng, CFO; and Ms. Cindy Lim, CEO Infrastructure. We will begin the session with presentations by CEO, Mr. Loh Chin Hua; and CFO, Mr. Kevin Chng, followed by the question-and-answer session. Mr. Loh, please.
Chin Hua Loh: Good morning. Keppel delivered strong results in the first half of 2025 despite a volatile global environment, underpinned by our timely and impactful transformation into a global asset manager and operator, focused on growing FUM and recurring income with an asset-light strategy. Today, we are recognized as a trusted investment partner with $91 billion in funds under management as at end June 2025. We have also made substantial headway in pivoting to an asset-light model with $7.8 billion in asset monetisation announced to date. Building on this strong momentum, we are confident of achieving our Vision 2030 interim FUM and asset monetisation targets by end 2026. To provide greater clarity on the performance of the new Keppel, we will be reporting our results, excluding a portfolio of non-core assets that are no longer aligned with our strategy, and which will be divested over time. The non-core portfolio, which had a carrying value of $14.4 billion as at end June 2025 comprises the legacy offshore & marine assets, residential landbank, selected property developments and investment properties amongst other investments, and includes some embedded cash and receivables of $2.9 billion. To be clear, many of these non-core assets are profitable where landbanks carried at our historical land costs, but they will be separately reported on as they are not part of our business focus nor do they contribute to New Keppel's asset-light model and growing recurring income. Today, the earnings of the new Keppel are being funded by only a part of our balance sheet. By reporting the non-core portfolio separately, we aim to provide greater transparency that will enable the market to better assess the progress of the new Keppel and the returns from our asset-light business as a global asset manager and operator. As we accelerate the growth of New Keppel, we expect that the market will re-rate our stock price and accord us a growth multiple. In addition, the NAV of the non-core portfolio, which we will monetise over time, should also carry further value. In first half 2025, the New Keppel's net profit surged by about 25% year-on-year to $431 million, bolstered by strong and steady infrastructure earnings and improved contributions from real estate. All segments were profitable during this period, contributing $444 million in recurring income, an increase of 7% year-on-year from $414 million in the first half of 2024. The non-core portfolio incurred a net loss of $53 million in first half 2025 versus a net loss of $41 million in first half 2024. Despite the losses, our all-in net profit for first half 2025 rose 24% year-on-year to $378 million, up from $304 million in first half 2024, underscoring the strength of our core business. In our efforts to drive capital-efficient growth, we achieved an annualized ROE of 15.4% for first half 2025 compared to 13.2% in first half 2024, excluding non-core assets. At the end of June 2025, the net debt to EBITDA of the New Keppel was 2.4x. With our asset-light model, the New Keppel will continue to improve on its ROE and grow our recurring earnings from asset management and operating and maintenance fees as well as other sources of operating income. Monetising the substantial non-core portfolio, whose carrying value is larger than our gross debt, will give us ample opportunity over time to reduce debt, fund growth for the New Keppel and return capital to shareholders. We will continue to be prudent and nimble in capital management, keeping our operations and cost efficient amidst the volatile landscape. To support our transformation as a global asset manager and operator, we launched Project Lean in late-2024 to streamline how we work and empower our people to focus on what matters. Building on the success of the program, we are now driving further cost optimisation, outsourcing and digitalisation with some of the savings reinvested into growth areas aligned with Vision 2030, such as building our capabilities to deploy AI at the enterprise level. To continue streamlining, we have achieved $88 million in recurring annual run-rate cost savings, advancing towards our stretched target of $120 million per annum by end 2026. Across Keppel, we are also harnessing digitalisation and AI to work better, smarter and faster, partnering with technology leaders like AWS, OpenAI and Google to drive meaningful and measurable impact. Our Keppel-wide data lake provides a secure and unified source of trusted information to accelerate decision-making and analysis and builds on Software-as-a-Service platforms to achieve greater speed and agility. These efforts have streamlined our processes significantly reinforcing a culture of doing more with less. The practical use cases of applying AI to our investments, asset management and operating activities have mushroomed. To improve efficiency and speed of adoption, we're churning out agentic AI models from our own AI factory using our proprietary Keppel AI Operating System or KAI. In appreciation of the support and confidence of our shareholders, the Board of Directors has approved an interim cash dividend of $0.15 per share for first half 2025. The interim cash dividend, which will be paid to shareholders on 21st August 2025, is the same as last year's interim dividend of $0.15 per share. Reflecting the Board's and management's confidence in Keppel's growth trajectory and our progress in asset monetisation, we have also announced this morning a $500 million Share Buyback Programme. Shares repurchased under the program will be held as treasury shares, which will be used in part for the annual vesting of employee share plans as well as currency for future M&A activities, including the satisfaction of our consideration for Phase 2 of the Aermont acquisition come 2028. Shares of Keppel were tendered as part of the consideration for the acquisition of the first 50% of Aermont in April 2024. These shares were treasury shares acquired through an earlier Share Buyback Programme, which were tendered at a share price of $7.16, but had a cost of approximately $5.80. Earlier this year, we established an accelerating monetisation task force with the aim of optimizing the speed of divestment and exit value of Keppel's non-core assets. Our intensified efforts have yielded encouraging results. In the year-to-date, we have announced around $915 million in divestments, including $477 million from real estate assets and investments in India and Vietnam announced yesterday. This brings us to about $7.8 billion in asset monetisation announced since October 2020, not including the divestment of operating divisions such as Keppel Offshore & Marine. Moving forward, besides accelerating the growth of the New Keppel, we'll be laser-focused on monetising the non-core portfolio just as we have monetised the $7.8 billion of assets identified earlier in 2020. To this end, I'm pleased to share that we're in the process of negotiating over $500 million worth of real estate and connectivity asset monetisation transactions, which we hope to finalize before year-end. This year has been a busy period for our asset management business as we continue to double down on our growth initiatives. In the first 6 months of the year, we recorded $195 million asset management fees. By the end of June 2025, our FUM reached $91 billion. In the year-to-date, we have raised about $1.9 billion in equity and completed $6.5 billion worth of acquisitions and divestments across our private and listed vehicles. Our flagship fund strategies for data centers, education assets and sustainable urban renewal are gaining good traction. Collectively, we have raised FUM of $4.7 billion in the year-to-date, reinforcing Keppel's brand on the radars of Global Limited Partners. I'm pleased to share that Keppel has been ranked in IPE Real Assets' list of top 100 infrastructure managers, emerging as the fourth largest in Asia Pacific and the 23rd largest globally by assets under management. Just last month, we sealed a strategic partnership with AIIB to mobilise up to USD 1.5 billion to fund Keppel's projects across green and tech-enabled infrastructure and connectivity solutions in Asia Pacific, solidifying our reputation as a preferred investment and ecosystem partner. In Europe, Aermont Capital continues to perform well and contributes meaningfully to Keppel's asset management platform. Aermont has made good progress at deploying Fund V in promising investments and plans to launch Fund VI later this year. For financial year 2024, the first year of our acquisition, Aermont recorded a net profit that was 31% higher than what we had projected at the time of acquisition. With a total deal flow pipeline of $39 billion, we see many exciting opportunities ahead for Keppel to deploy our capital and drive fee generation. Looking ahead, we're likely to enter a more inflationary environment, fueled by the effects of tariffs and trade restrictions. Investors are expected to continue favoring asset classes that can provide steady cash flows and which can serve as a hedge against inflation. This will continue to drive demand for alternative real assets, which are underpinned by resilient macro trends, such as the energy transition, digitalisation and the AI wave. In our operating platform, infrastructure continues to be a core and steady pillar for Keppel, delivering strong recurring cash flows and contributing to our asset-light model. In first half 2025, net profit from our Infrastructure division rose 8% year-on-year to $333 million, while its EBITDA grew 7% to $405 million despite softer spark spreads. This attests to continue growth in the non-power segment where we secured new decarbonisation and sustainability contracts and grew long-term supply concessions to $6.8 billion as at end June 2025. The earnings resilience and growth are set to continue with about 1 GW of new power capacity coming online, including the 600 MW Keppel Sakra Cogen Plant in first half 2026 and another potential 300-500 MW of renewable imports from 2028. This will not only expand our earnings, but will also reduce our carbon intensity, reinforcing the Infrastructure division as a capital-efficient and technology-driven growth engine for Keppel. By leveraging Keppel's integrated ecosystem, we are also pushing the boundaries with innovative and sustainable solutions to support the world's growing digital needs. A prime example is our floating data center project. By tapping coastal and offshore spaces, this game-changing solution offers an alternative to land- and resource-constrained cities seeking to scale digital infrastructure sustainably. The 25 MW project has recently completed its environmental impact assessment in Singapore and has been committed to a global hyperscaler. Subject to final approvals from the authorities, we expect to start construction later this year and target completion by end 2028. When completed, Keppel's Floating Data Center project, a proprietary asset funded by the Keppel Data Centre Fund II, will be the first of its kind in Asia Pacific with a full-scale proof-of-concept for the region. We see strong potential for its replication in Singapore and beyond, especially in markets where land, power and water are limited. I'm also pleased to share that significant progress has been achieved in the development of the Bifrost Cable System. The cable laying operations are now complete, and the cable system is expected to be ready for service by the end of September this year. The significant milestone bolsters our track record in delivering large-scale digital infrastructure projects, paving the way for future cable systems to connect more regions and geographies. To conclude, while the external environment is highly volatile, we are on our way to realizing Vision 2030. Keppel, today, is a highly valued ecosystem partner who brings together capital, capabilities and innovation to deliver strong returns to our shareholders and LPs, while contributing to a more sustainable and connected world. We will look to accelerate the growth of the New Keppel and focus on monetising the non-core portfolio as soon as possible, which we are confident would lead to a further re-rating of Keppel by the market. When we succeed, the New Keppel will be a leading global asset manager and operator focused on fast-growing sectors across sustainability and digital infrastructure, areas experiencing strong tailwinds and where Keppel is uniquely positioned to lead. With $200 billion in FUM, our earnings will be anchored by strong recurring income from asset management fees and long-term operating contracts. By 2030, the $14.4 billion non-core portfolio should be substantially monetised, providing ample capital for the new Keppel to grow, reduce our debt and also reward our shareholders. Our asset-light model can be expected to deliver an ROE significantly above 15%. Our CFO, Kevin, will now take you through details of the company's financial performance. Kevin?
Kevin Chng: Thank you, CEO, and a very good morning to all. I shall now take you through Keppel's financial performance. Our net profit for first half 2025 was $378 million, 24% higher than the $304 million for first half 2024. Consequently, annualised ROE was higher at 7.2%. Net debt to EBITDA was lower than last year-end, mainly due to higher EBITDA. Free cash outflow was $48 million improved in first half of 2025 from the outflow of $216 million in the prior period, mainly due to net cash inflow compared to outflow from operating activities arising from positive working capital changes, partly offset by higher net cash used in investing activities. Excluding non-core portfolio for divestment, net profit of New Keppel was $431 million as compared to $345 million in first half 2024. The non-core portfolio for divestment comprises mainly legacy offshore & marine assets, residential landbank, selected property developments and investment properties, hospitality and logistics assets, as well as the other non-core investments that are not aligned with Keppel's strategic focus as an asset-light global asset manager and operator and which will be divested over time. As at end June 2025, the carrying value of non-core portfolio was $14.4 billion. 61% or $8.8 billion comprises property-related assets; 33% or $4.8 billion of legacy offshore & marine assets; and 6% or $0.8 billion of investments and others. Included in the $14.4 billion was $2.9 billion of associated cash and receivables. As mentioned by CEO, to provide greater clarity on the performance of New Keppel, in the next few slides, I will be presenting our financials excluding the effects of the non---core portfolio for divestment. Net profit of New Keppel increased 25% year-on-year to $431 million. Real estate achieved higher earnings, while infrastructure and connectivity recorded lower profits. Infrastructure continues to be the largest contributor to Keppel's earnings followed by Real Estate and Connectivity. Annualized ROE improved to 15.4% in first half 2025 from 13.2% a year ago. Net debt to EBITDA was 2.4x as at end June this year comparable to end December 2024. The increase in net debt due to investments during the period was largely offset by improved EBITDA. In line with our focus on growing recurring income, New Keppel generated cash inflows from operating activities. Together with divestment proceeds from the non-core portfolio, we reinvested the cash to fund capital calls from sponsor, stakes and co-investments as well as acquisitions resulting in a free cash outflow of $232 million in the first half of the year. Improved operating income from infrastructure and lower operating loss from real estate were partly offset by lower asset management earnings, translating into recurring income of $444 million, which is 7% higher than the $414 million a year ago. Higher valuation gains were led by higher fair values on investment properties and investments. Divestment gains increased year-on-year, arising from monetisations from real estate and connectivity. Net loss from corporate activities was $70 million with net interest income being offset by higher taxes. Moving on to segmental performance. Infrastructure segment recorded a net profit of $346 million in first half 2025, 5% or $19 million lower than the $365 million in first half 2024. Asset management net profit declined as first half 2024 benefited from acquisition fees from Keppel Infrastructure Trust acquisition of a German solar portfolio and an Australian transportation business as well as fees from better performance achieved by KIT. This partly offset the divestment fee from KIT's disposal of its interest in the petroleum products import storage facility in the Philippines as well as lower costs in first half 2025. Stronger operating income was supported by higher contributions from decarbonisation and sustainability solutions as well as sponsor stakes and co-investments. These were partly offset by lower earnings from integrated power business as a result of lower contracted spreads. The segment recorded lower fair value gains from sponsor stakes in private funds in the first half 2025. Real Estate segment achieved a net profit of $98 million, a significant improvement compared to the net loss of $20 million a year ago. Asset management net profit was $41 million sorry -- asset management net profit of $41 million was $22 million higher year-on-year, arising from 6 months contribution from Aermont, which was acquired in April last year. Higher management fees following the first closings of 2 funds in 2024 as well as lower costs. Operating income was $10 million higher year-on-year, mainly due to higher contribution from sponsor stakes and lower interest costs, partly offset by higher losses from the senior living business. The segment recorded valuation gains of $27 million from investment properties and sponsor stakes in first half 2025. In first half 2025, real estate also completed and recorded gains from the partial disposal of Saigon Centre Phase 3 in Vietnam. Net profit from Connectivity segment of $57 million, was 19% or $13 million lower than $70 million in first half 2024. Asset management net profit was slightly higher year-on-year at $14 million, mainly from higher management fees following the acquisition of 2 assets by Keppel DC REIT and first close of DC Fund III, both in December 2024. Operating income was marginally lower at $40 million, mainly due to lower earnings from M1, partly offset by higher contributions from Keppel DC REIT. The lower valuation gains from sponsor stakes in private funds and the official fee paid by M1 were partly offset by higher valuation gains from a data center investment. Net loss from non-core portfolio was $53 million as compared to $41 million in first half 2024. Net loss of legacy O&M assets of $91 million in first half 2025 was mainly due to interest costs attributable to legacy rigs, fair value loss from Seatrium shares and share of loss from an associate, although both recorded much lower losses year-on-year. As mentioned by CEO, many of the non-core assets are profitable. For first half 2025, the property-related non-core assets registered a net profit of $86 million mainly driven by gains from divestments in China and Vietnam, which were partly offset by operating and fair value losses on investment properties and losses from development projects. Investment and others recorded a net loss of $48 million, mainly from fair value losses on investments, partly offset by gain on the disposal of Computer Generated Solutions, Inc. in the United States. With that, we have come to the end of the presentation, and I shall now hand the time back to CEO for the Q&A session. Thank you.
Chin Hua Loh: Thanks, Kevin. Maybe for a start, I will invite questions from those who are present here. Yes, Jon. Maybe you can -- you can say who you are, where you're from, yes.
Qianqiao Wang: I'm Joy from HSBC. I have 2 questions. First of all, on ROE. You previously spoke about a 15% ROE target, and I believe that was on a group basis. Now that you have a separate Keppel to new and old, and your New Keppel is already at 15% or above 15%, what do you think is actually a sort of optimal ROE for the New Keppel debt portion? First question. Second question is on the old Keppel or non-core segment. The NAV, I think, is about $4.7 billion from the account. How sustainable is that NAV? Or how realizable is that NAV? And once you realize, how should we think about return to shareholder for that $4.7 billion?
Chin Hua Loh: So I think the way we think about it is that the ROE for the New Keppel is not surprising to us. That is already at 15% because it is a very asset-light model, particularly a lot of these businesses are built organically, right, including our asset management businesses. So the ROE, we would expect to be quite high. I think the key focus is not to set another new target for ROE, but to see how can we achieve even higher ROE over time as we monetise the old Keppel or the non-core. Because with that, we will be able to also fund new growth. But at the same time, we can also reduce our debt. So the ROE going up by itself is not important. It's the fact that we -- it's accompanied by a reduction of leverage over time. And of course, part of the ROE improving above over time will be driven by reducing the denominator as we reduce -- as we return capital to our shareholders. So it's the earnings going up, recurring earnings going up and also reducing debt and reducing shareholders' equity as we return capital to shareholders. Now in terms of your second question on the non-core, yes, the NAVs, I think correct, $4.7 billion, but I think significantly, as we return, we are going to, over time, monetise this $14.4 billion, which includes about $2.9 billion of cash and receivables that are already embedded. So that means that we don't actually have to so-called sell $14.4 billion, we just need to unlock $14.4 billion minus the $2.9 billion more or less before the embedded cash and receivables are released. We will be looking to also reduce the debt over time, right, because as we sell, it's not just releasing the $4.7 billion in NAV, but you will be reducing the debt significantly. I have -- yes, Siew Khee? Brandon first. Sorry, we'll come back to you, Joy.
Brandon Lee: Brandon from Citi. Just a few questions. The first one on the share buyback. I think basically, I want to know how do you intend to execute this $500 million. I think the last time you did in FY '22, you did it on a very consistent day-by-day basis. And back then, the stock was trading below NAV. But I think today, your stock at $8.73. It's really way above the NAV of [indiscernible]. So is this going to be consistently valuating again? Or is it going to be when you think that the stock is cheap? If you can share with us your level, then yes, that's my first question. And the second is related to the $500 million again. Why not higher interim dividend or why not lower gearing, but a share buyback given where the stock is really trading. That's my second question. And the third question is if you were to look at the 31% jump in Aermont's net profit, how much would your EV EBITDA be on your acquisition price and would it impact the acquisition price for the remaining 50%?
Chin Hua Loh: So if I ask Chris to address the third question.
Hua Mui Tan: Brandon, on the Aermont, actually, because of the 31% increase in profits compared to what we have underwritten, in terms of the multiple, we actually bought 11x EV EBITDA compared to actually where you see most global managers buying other such platforms ranging from 20 to 30x. So I would say that because we have done our homework well, we have actually set a cap as well for the pricing, both the first tranche as well as the second tranche. I think we have done quite a good job in terms of this acquisition.
Chin Hua Loh: So on the share buyback, I think the way to think about it is that we are not just only thinking about returning capital. But also in this instance, this share buyback would be used to fulfill the equity share plan that we have to have for employees and also to be used as a currency for our future M&A. Immediately, there is a Phase 2 of the Aermont acquisition, which would be partly funded like the Phase 1 by shares, and this is due in 2028. So this is something that I think we are very mindful of. And we can see that the first, as I mentioned in my remarks, opening remarks, for the first tranche of 50% last year, we tendered the shares to Aermont at I think around $7 something, whereas the cost was actually $580. So we think that as we continue to set Keppel on this new trajectory, as I mentioned, we expect it to be re-rated. And then as we are able to monetise the non-core over time, we will see that we expect the share price to perform. So I think in terms of timing of the share buybacks, obviously, we're not going to be so transparent, but I think this will be something that we will look, I mean, it's a need. So it's not just -- it's not just a strategy. It's just that we need -- we do need these shares, and we are not going to -- we prefer not to issue new shares because we think that, that would be dilutive, especially where we think capital is going.
Brandon Lee: [indiscernible] less chronic -- sort of less frequent basis? Or is it -- like basically, it's going to be similar to the last time around?
Chin Hua Loh: I think the circumstances will depend on the market. So all I can say is that this is a need for us because we do need these shares. And we prefer to buy from the market rather than to issue new shares, and we will execute it over time, but it is very clear that we do need these shares. [Foreign Language]
Lim Siew Khee: Siew Khee from CGS. Just wanted to check on your $500 million asset monetisation plan in discussion, right? There are $500 million of real estate and connectivity assets. What other connectivity assets? And then why only $500 million?
Chin Hua Loh: Okay. The connectivity asset is not the ones that are being developed so it wouldn't include say, for instance, the Floating Data Center part. I mean the Floating Data Center as an example. But this would be so-called an asset -- a non-core asset in Europe that's held in the balance sheet. It's not a very big asset. Then we also have China logistics. Please, Manjot.
Manjot Singh Mann: Yes. This also includes the China logistics non-core assets that we've held for a long time, and they will be monetised very soon.
Lim Siew Khee: So just curious that in your $14 billion portfolios, you didn't include any connectivity assets? that $14 billion non-core?
Chin Hua Loh: Yes. Maybe I'll ask Kevin to address that.
Kevin Chng: Yes. No, the connectivity assets are mostly in New Keppel -- sorry, in New Keppel and not in the non-core portfolio.
Lim Siew Khee: Okay. And then I just wanted to just check on the updates on connectivity. The pairs and whether you have achieved any traction in promoting or selling the next few pairs? And how much is it? Because we only had the numbers that are floated around, and it'd be good to actually now that you have better visibility. We can just tell us the construction cost and profit for what you can sell for -- just two pairs at least, could you say that.
Chin Hua Loh: Sure. I think we do look at it not just at individual pairs. We look at the overall project. And I think what we've indicated is that we expect the IRR to be about 30%. Maybe just to give you a bit of sense of where the market is now for fibre pairs. Can I invite Manjot to address that.
Manjot Singh Mann: Yes, thanks. So to your question, the RFS, like I mentioned, would be completed by September this year. On sale of further fibre pairs, there is a certain amount of premium that we are expecting because this is one of its kind fibre pairs that connects to Singapore to the U.S. And we are in advanced talks with multiple either OTT operators or telecom operators who are showing keen interest to look at this fibre pairs because like I said, this is one of its kind that does not touch South China Sea. So we should be able to monetise this very quickly. I can't give you the numbers, unfortunately. But the reality is that this will demand and command a premium over other fibre players available in the market.
Chin Hua Loh: Thank you, Mann.
Lim Siew Khee: I just have one last question on the fair value gain on remeasurement of remaining interest in the JV of $138 million. Is that the -- what is that, firstly? And is that -- I mean, I know that, that is actually arose from the non-core portfolio. So can we just know what is that? And does that actually mean that, that's why your overall as a group, core and non-core, even though you had actually monetised about $900 million of assets, your total gain from all these assets is only giving you about $140 million gains, whether that $138 million has actually offset the gain. Kevin, you know what I'm talking about?
Chin Hua Loh: Let me do this, Kevin. So maybe just to kind of emphasize the point that both Kevin and I had made during our remarks. The non-core portfolio is on the basis of -- that it doesn't fit our business model of the New Keppel. So actually, many of these non-core assets are actually profitable. Our landbank is held -- still held at historical cost. So the gain from this revaluation arises, I believe, and maybe Kevin, he is on the project that we announced a sale of 30% interest in Tianjin where we made a gain from the sale. But because it's still a joint venture, so there is a revaluation of the other 70%. So that's a result because the -- and it shows that even though the market in China is quite challenging. This landbank was probably -- let me ask Louis. This was something that we owned how many years ago.
Lu-yi Lim: Over 20 -- we've held it for a long time.
Chin Hua Loh: So it's a very old land that we held at cost. So despite the challenging market environment in China today, we are still able to book a gain on the sale of the partial sale and also the revaluation gain. Do we have a question here? Maybe Tan Xuan first.
Xuan Tan: Xuan from Goldman here. First question is on acquisitions. If I look at your cash flow for investing, that has also increased. Can you share a bit more about what are this? And also going forward, as you monetise, what are the kind of acquisitions that you will look to make on your balance sheet?
Chin Hua Loh: Okay. Maybe I'll ask Kevin, you can address this.
Kevin Chng: Hi Xuan. The investments that we invested in the U.K. was generally, if you recall, we advertised that we bought over Global Marine Group, a large part of that cash outflow was pertaining to that investment.
Chin Hua Loh: So the way we have to think about it is that over time, we will continue to grow the New Keppel. And this will be in the form of investments into -- co-investments in funds. We are not going to -- we're not going to buy something 100% on our balance sheet, so that means that the cash flow is likely to be outflow for the New Keppel. At the same time, on the so-called non-core, as we monetise, you will see that the cash inflow will become more positive. So in a way, the non-core will be used to fund the growth in the New Keppel. And then, of course, we would expect that there will be a possibility for us to reduce debt overall and also to reward shareholders as we monetise the non-core.
Xuan Tan: Can you help us to break down $14 billion if you divest it fully? How would you allocate between acquisitions, shareholder return and debt repayment?
Chin Hua Loh: You know I can't go there.
Xuan Tan: Rough sense.
Chin Hua Loh: Rough sense and all. I think we will -- you can see that as we -- I mean, we're doing it in a very disciplined way. So I think even though -- we see -- I think the key for us is to really be laser focused on monetising this $14.4 billion. Then that will give us the opportunity to pay down debt, return capital and fund growth. I think that's key, right? So it's -- we got to get that part done correctly and done right.
Xuan Tan: Last question. One is under New Keppel. Is it still -- are you still open for divestment for this business.
Chin Hua Loh: It's under New Keppel, and we are still open.
Zhiwei Foo: Zhiwei from Macquarie. I have 2 questions. First one is on M1. The second one is on your real estate business. Now for M1, can we just understand what's your strategy for the business here? First of all, if you look at this semi-annual number, the consumer numbers are still on a decline, right? And then when you acquired the 700 MHz spectrum, you did two things. First, you took only one band, which seems a little bit inefficient. The second one is that you actually paid in a deferred payment scheme using IMDA's deferred payment option, which is charged interest of 4.2%. I think Keppel's growth cost of financing is lower and [indiscernible] to M1 to invest. So could you just kind of help us understand what's the long-term strategy for the M1 consumer business? Do you intend to continue investing in it? And I don't know -- that seem to keep deteriorating over time.
Chin Hua Loh: I think we all know the telco market in Singapore is under a lot of competitive pressures. Maybe I invite Mann to just give a very broad overview of what we are doing, how we have been able to maintain the EBITDA, okay?
Manjot Singh Mann: Yes. So clearly, the market is under severe competitive pressure. 4 operators and close to 7 surviving MVNOs, it's an overcrowded market. And we are seeing a lot of SIM-only plans replacing contract plans, and that is why there is a bit of an ARPU dilution as well. We've been able to hold ARPUs to a certain extent, but clearly, the market is seeing a decline in ARPU levels. And the mobile business is on a decline for all operators. It's not just us. Having said that, I think the good part that we've done are twofold. One, we've been able to pivot our business towards the enterprise business as well. Our growth is significant. Today, almost 50% of our overall revenues come from enterprise. And this is not just Singapore. Singapore is growing. Malaysia is growing. We just acquired a company in Vietnam as well. So we do plan to have a very strong presence in the ICT business in Singapore and in the region. So that contributes to our EBITDA as well. The second thing that we are doing is in terms of cost management. I think running a business at the ARPU levels that it is today and expected in the next few years, the cost base that we've been running the business at for these many years is not sustainable. So clearly, we are working on the cost base. And putting that together with our enterprise business, we've been able to hold, in fact, not just hold, we've grown our EBITDA by about 3%. So our EBITDA is steady. Our profits are steady. Now coming back to your 700 MHz question, I think it's not entirely inefficient to take 1 lot because as technology evolves, you can do carrier aggregation as well. So there is an opportunity for us to use 700 MHz. Why did we take only 1 lot? Because clearly, there is antenna, a joint venture that we have with StarHub. So we do see an opportunity of us rolling out together and aggregating our spectrums. So there is the penalty that we paid to return 1 lot was about $14 million, as you would know. So it's not just our 1 lot that we look at, we look at the combined availability of spectrum. The other thing is that Singapore, of course, is pretty well covered from a 4G and 5G perspective. 700 came a little too late in Singapore for us to be able to deploy. And in this period, we have gone on and deployed a significant amount of in-building coverage for 500 with our 2,100 MHz spectrum. So both the umbrella coverage of 5G as well as indoor coverage of 5G is pretty well taken care of. So we don't see 700 being that significantly different at this point in time to coverage in Singapore. So therefore, I don't think we have been either inefficient. I think we have been very prudent in the ways that we have to deploy our capital considering how the market is because ultimately, we can invest only as much as we are able to earn. And I think the market is looking competitive. So we have to make sure that we are prudent in the way we invest our capital. So therefore, we decided to have only 1 lot instead of the 2 lots.
Chin Hua Loh: So maybe just to supplement what Mann said in response to your question. I think it's also being -- as what Mann taking a very prudent way of looking at this that we believe that market consolidation is good. It will happen. I believe it's good for the market and good for consumers, not just for the telcos, but good for consumers. And I think we also have to be mindful that when it happens, we do not know. So I think we do need to make sure that we have enough spectrum to meet our requirements and our obligations, and then if we are looking at the possibility of some divestment in the future, then not picking up this so-called progressive payment offered by IMDA is actually, we believe, is quite smart. I mean this will be a good way to look at this, to position ourselves that eventually, there's a possibility that it could be monetised. So you don't really want to pay for all of it upfront, right? So I think that's kind of how we look at it. I think maybe to be fair, there are a couple of questions online. So maybe I go to the questions online, and then we can circle back. First question was from Alvin [indiscernible] Trading. Alvin says congratulations on delivering an outstanding set of results this half. With strong earnings growth, improving ROE and significant progress in monetisation, does the Board intend to reward shareholders beyond the current payout, perhaps through higher full year dividends or special dividends in the near term. Well, as Alvin, you know, this is just an interim dividend. The full year -- the final dividend will be decided at the end of the year. And I think the Board is well aware that dividends is important to many of our shareholders. But we have to balance all of that in mind. What our shareholders are looking for, at the same time, the capital needs of Keppel going forward. So we'll bear all this in mind. Thank you for your question. Second question is from Derek Tan of DBS. Congrats on winning the global accolades. I'm not sure which global accolades he has mentioned, oh, the IPO. Thank you. In your commentary, Mr. Loh, you mentioned $39 billion in deal flow. How much of that can be converted to FUM and in which sectors, infrastructure DC? So maybe I ask Chris to address this question first.
Hua Mui Tan: Derek, in terms of the $39 billion of deal flow that we're looking at, I think we have very strong due flow pipeline and infrastructure, especially on digital infrastructure, and data centers, where Keppel's strong operating capabilities are. So you would probably see about at least $15 billion of each, whether it's in infrastructure and then digital infrastructure for data centers as well. In terms then real estate contributes about at least $9 billion in terms of deal flow pipeline. So we are seeing actually very strong deal flow pipeline in the markets, and this is looking good for us.
Chin Hua Loh: Derek has a second question. In terms of asset recycling and growth, what is the group's transitioning of Keppel South Central into a listed platform? I think, first and foremost, the building that we're in currently, Keppel Bay Tower, was actually on our balance sheet. But of course, a few years ago, it was sold to Keppel REIT. So it's now part of our FUM. Could this also happen with Keppel South Central? Of course, that's a possibility. But of course, we need to get the leasing up first to stabilize the leasing. So maybe I'll ask Louis to give a quick update on the progress there.
Lu-yi Lim: Right. So we have been getting very good interest in Keppel South Central. We have leased and in active discussions with about 50% occupancy. So we really look forward to filling up the space soon. Thank you.
Chin Hua Loh: Okay. And Derek has one last question. How about possible platform acquisitions, REITs and fund managers in Asia to grow your reach? And maybe, Chris?
Hua Mui Tan: Yes, sure. I think we are always open to looking at more M&A activities, especially after the experience with Aermont where actually, I think we bought well, and the group integrated really well. And we can see that Aermont through the specialisation in terms of real estate PE acquisitions, they have done really well and investors like it. And actually, they are able to do quite active acquisitions in Europe as well as to actually thinking of starting a new fund, Fund VI, for Aermont. So we are always open to looking at platform acquisitions and whether it's in REITs or fund managers as well. I think we are not just limited to Asia. We are also open to looking at different platforms in Europe as well. Thank you.
Chin Hua Loh: Thank you, Chris and Louis. Joel Siew of DBS Singapore has 2 questions. First question, are there plans to refinance or redeem the $400 million perpetuals? And I think second question, could you provide more details on real estate's $100 million of operating profit and $66 million of associated JV, while revenue for real estate sales are $94 million? Maybe I'll ask Kevin to answer those 2 questions.
Kevin Chng: Thanks, Joel. Maybe just on the first question first. Yes, that's something that we are closely monitoring, but maybe just to add on that, we continue to give very, very good support for our funding source, particularly in Singapore. So that's something that we are watching very closely as it relates to answering the question when the time for the perpetuals become due because of the optionality that we have with the amounts. And then the second question on real estate and breakdown. Maybe just to clarify, the operating profit for real estate also includes fair value and divestment gains, right? So the associates that you have identified of $66 million, that includes things like Aermont, Keppel REIT and SSTEC that are all included in that balance.
Chin Hua Loh: Okay. He has third question. How soon do you think your non-core portfolio can be divested, understanding that there's a significant level of debt relating to these assets. As I've said earlier, our focus really must be on divesting or monetising this non-core portfolio. And we do expect that by 2030, this non-core portfolio should be substantially monetised.
Rachel Tan: This is Rachel Tan from UBS. I have 2 questions. The first being that management has talked about the share price re-rating. So just to ask who are the comparables that we should be looking at for both Keppel and non-Keppel as it pertains to the different businesses?
Chin Hua Loh: Okay. I think for the way we think the market should look at us is as we continue on this path, to becoming -- growing ourselves into a leading global asset manager and operator, you have to be looking at some of the global peers in the asset management space. We are a bit unique. We have not just asset management, we also have very strong operations as well. So whether it's a group like Brookfield, KKR, Blackstone, BlackRock, I mean, this would be the group of peers that perhaps the market should look at. And then I think the non-core, there's really no comparable to look at because this will be a portfolio that we will be looking to monetise over time. So it's really about how soon we can monetise and whether we can get good outcomes in terms of the price that we monetise at. So I think that's kind of how I think we should look at it.
Rachel Tan: Sorry. My second question is on the connectivity side. So do you look at M1 as a monolith because on one hand, you said that you are open for divestment. But on the other hand, you talk about focusing on enterprise, and in previous briefings, you've talked about value adding and synergies with the data center portfolio. So how should we look at reconciling all of this.
Chin Hua Loh: Yes. I think you heard from Mann, the ICT side is an area that we have continued to grow, and we believe that there is a lot of synergies with our data center business. So when we talk about potentially monetising, we're really looking at the consumer side and the consumer mobile side. But maybe, Mann, you want to talk a bit about the synergies.
Manjot Singh Mann: So one, of course, is a running business. So we have to grow the business. That's our objective. So as much as mobile business is under pressure, we are still trying and fighting hard in that business. So we're not giving up clearly. On the enterprise side is where we see opportunities. So clearly, a lot of our management attention, our investments are also going into creating this enterprise business. But it has, apart from just doing management network business or Device-as-a-Service business in the ICT space, a lot of solutions that we are doing today in the ICT space is on cloud solutioning, creating hybrid cloud solutions for enterprise, data center modernization work. And we do see that there is a huge amount of synergy that we can derive because at this point in time, all the solutions that we create for enterprises, they need a host. They need a home for their data center operations. So we do see that over a period of time, some capacity that we create in our data centers can be monetised through enterprise colocations that our own enterprise business brings to Keppel Data Center. So that's the synergy we have -- that's the pipeline that we are creating because today, we do see a lot of organizations in digitalizing their businesses and looking for either hybrid cloud or multi-cloud solutions. So that's where we do see a synergy between our enterprise business and our data center business.
Chin Hua Loh: Thank you. May I will take a question, if you have one more question before I take questions from -- yes, go ahead.
Rachel Tan: Very quickly, so the $14.4 billion that you talked about, it's based on what you deem to be the fair value of these assets versus the NAV of $4.7 billion because you talked about holding them at cost?
Chin Hua Loh: Maybe Kevin, you want to...
Kevin Chng: Yes. $14.4 billion is the carrying value of the assets that we have, the total assets. So it's a mixture. As Chin Hua alluded to, some of these are still carried at cost. So the $14.4 billion, you should measure as we have said also in our addressed earlier on that it's got several components at a broken down, including the $2.9 billion that Chin Hua also highlighted in terms of cash.
Chin Hua Loh: Okay. Maybe I move on to take another question from the web. This is from Mayank of Morgan Stanley. His question, Keppel ex non-core assets are still free cash flow negative. Can you help share the path to positive free cash flow and debt reduction? Also, can you help us understand the annual investment target for 2025? So I think I've covered this earlier. And I think the way we think about it is that the New Keppel is still growing. So over time, we would expect investments to continue to be made there. But of course, this has to be funded from the monetisation from the non-core. And the non-core will -- when we monetise the non-ore, you will reduce -- you'll be used to reduce our overall debt, fund growth in the New Keppel and also to reward our shareholders. So that's kind of how we look at it. And in a way, it comes back to the first point that we make, that the critical part is really about focusing on the monetisation. And we have already achieved $7.8 billion from the target that we have set before. So if you look at whether it is our Project Lean, about sharing our -- shaving off our costs, overhead costs, on a run rate basis or its monetisation or its FUM targets, I think we have been quite forthright in terms of setting targets that we share with the market. And so far, we have been able to hit those targets, we are on our way to hitting those targets. So I think this is something that we believe will help the market understand us and also understand the path that we are taking. It is a path that requires -- if you think about it, a few years ago, quite a big change. So I think it's important to set not just long-term targets, but also to set interim milestones, which we have done, so that the market can then judge for themselves how well we have done. Are we on track? And I think this monetisation is perhaps more important in terms of the timing rather than trying to maximize the profit from the non-core. I think the key is really how quickly we are able to monetise this non-core. Okay. sorry, I want to take one more question, and then I'll come back -- 2 more questions, and I'll come back to you. In terms of annualized fee to FUM -- sorry, this is a question from Goola Warden of The Edge. In terms of annualized fee to FUM, is there an optimal ratio? For the REITs and private funds, what is the optimal stake that Keppel plans to have? Is there a particular percentage of listed funds versus private funds for your $200 billion target? In terms of sectors, asset management fees and operating services, how would the $200 billion look like in percentage? Maybe Chris, you can.
Hua Mui Tan: Yes. Goola, in terms of our annualized fee to FUM, I think if you see the global managers, you would see a range from 40 bps to 50 bps. So I guess for our modeling, we had used 50 bps in terms of a $200 billion target, resulting in a fee of about $1 billion. In terms of the percentage of listed versus private funds. Actually, right now if you see our composition, it's about 2/3 private funds, 1/3 listed funds. Going forward, would we have the same percentage? I think about 60-40 would be quite a good number to have as well. And in terms of our asset management fees versus operating services, how would the $200 billion look like, right, in percentage? I think you're talking more about the segments which is the allocation. I think we have said before, we don't really allocate. But right now, we would see that the books are quite heavier on the real estate side as we started real estate funds management a bit earlier. But going forward, we would see that essential services and infrastructure, digital infrastructure, data centers are actually one of the hottest sectors, and Keppel is really good in this. So we would see probably allocation to if you [indiscernible] the cap allocation is probably 1/3 each.
Chin Hua Loh: So maybe, Chris, I just try to address this question in a slightly different way. I think we don't look at this as kind of competing, right? Because actually, they are self-reinforcing because if we -- for instance, on the infrastructure, if we have more FUM, it means that we can maybe build more power plants, we can build more waste-to-energy plants. We can do more things. We can own and operate more assets. And as a result, the operating O&M fees or the operating income will also go up. So it's actually not one or the other. It actually reinforced, so as the asset management fees go up with the FUM, we would also expect the O&M fees and the operating income from our operating division to also go up, whether it's infrastructure asset or its waste-to-energy asset, power asset or it is a digital fibre system that we are building. So it's not -- so we can actually generate a flywheel from that. Now let me move on to the next question, which I will ask Cindy to address. This is from Mr. Pillai from the Business Times. It is mentioned that Keppel expects another potential 300 to 500 MW of renewable power imports from 2028. Could you share more on which markets Keppel will be focusing on for renewable import projects? What opportunities does Keppel see in the broader development of the ASEAN Power Grid. Cindy?
Joo Ling Lim: Thank you, Mr. Loh. Thank you, Mr. Pillai. With regards to the importation of renewables, we are targeting Indonesia, you would have heard from our earlier media release that we are awarded a conditional license to import 300 MW of renewable from Indonesia. Beyond that, we also have a conditional approval of up to 1 GW from another ASEAN generating resource. To highlight these [ 3 MW] will actually translate to an upstream generation capacity of nearly 2 to 2.5 GW of PVs as well as approximately 5 GW hours of battery. So these are very large-scale renewable generation project that we have unlocked. The opportunities for ASEAN Power Grid is very promising. You will have heard from our energy minister that about 30% of Singapore energy mix by 2030 will be made up of renewable importation. So we see Keppel as a front runner in this regard. And we will be playing our part to work with regulatory authorities across ASEAN as well as with agencies in Singapore to make this happen. More importantly, it's also unlocking the demand offtake as you have heard earlier, throughout the conversation, there's a lot of synergy for us to bring a low carbon and renewable power to capture the connectivity space, specifically the high demand for AI data centers.
Chin Hua Loh: Thank you, Cindy. Okay. [indiscernible], maybe start with.
Unknown Analyst: Okay. My first question is on Infra. So as capacity comes on stream 2026, do you expect further pressure in terms of your spark spread? If that's the case, will the decarbonisation and also Sakra Cogen contribution helped to offset the pressure on the operating profit level?
Chin Hua Loh: Thank you, Cindy?
Joo Ling Lim: Thank you, [indiscernible] . When the Keppel Sakra Cogen come on stream first half 2026, which, by the way, the project team is working very hard to accelerate the commercial operation. So we hope to give positive surprise if the power plant can come onstream earlier. Now this will expand our generation capacity by nearly 50% from 1.3 GW to 1.9 GW. So you're right, there might be a softening of the spread in the local market. The extraordinary large spread in 2022 has more or less normalized in the past 1, 2 years. But this will be offset, like I said, by our volume expansion, that's number one. And number two, we have also diligently improved the efficiency of our existing fleet. We have completed the high efficiency upgrade of both of our F-classes in Keppel Merlimau Cogen. So on a blended basis, I think our generation efficiency and our market share will allow us to continue to deliver strong and predictable growing earnings from our integrated power business.
Chin Hua Loh: Thank you. You have a follow-up question, then we'll -- yes.
Unknown Analyst: Sorry, if I can squeeze in 2 questions. First is on the cost savings. If I look at your corporate costs, it's unchanged at $17 million. Where is the cost savings flowing through? And then second is real estate. In terms of the new real estate business, what is actually classified here? And how can you think about this business in 2 years' time?
Chin Hua Loh: Maybe, Kevin, you can take the first question?
Kevin Chng: Sure. Thanks. So just on the cost savings. Maybe just to explain corporate activities. Corporate activities is actually quite a wide range of expenses that we have. So it's not just on staff cost per se. As it relates to Project Lean and what Chin Hua has guided to, the $88 million savings essentially stems from an exercise that we've done of looking at efficiencies in the organization. It is being tracked in terms of the headcount and the resources that we no longer need when we came together as one Keppel. And then now the second phase is really looking -- now that we've come together and we look a little bit into the future, what are some of the enhancements that we put in place in terms of automation, digitalization. So that is in relation to how we would track those cost savings from a cost perspective. I think one way to think about the $70 million that you're comparing is if we hadn't done this savings, the number that you'll be seeing today will be a lot higher than what we're reporting from a cost perspective.
Chin Hua Loh: I think the other point is that some of these cost savings is on a run rate basis. So it may take -- there might be a lag because let's say if there is some costs that we incur, to achieve that savings, that actually shows up first. But the point is that this is more recurring going forward. And then to Kevin's point, some of these is also reinvested into things like data, AI, et cetera right? So maybe Louis?
Lu-yi Lim: On the real estate front, we have actually reorganized ourselves in line with this concept of New Keppel. So the real estate team is essentially split into three areas where we focus on. The first is what we described as supporting our existing funds, particularly for the Keppel Sustainable Urban Renewal fund as well as for the education fund. And the activities here span from providing technical solutions, sustainability solutions, but also supporting the underwriting the asset management, including leasing, right? So we have a team that really focuses on supporting the funds. Then we have teams that really work on incubating businesses that can be future funds. So there's -- but beyond so we also have an urban solutions business. So there's a team together of solutions with sustainable urban renewal. Senior living is an area that we have invested in. As you know, we have acquired the remaining 50% of Watermark in the U.S., and there's a lot of tailwinds in that business given the demand-supply dynamics. But in Asia as well, we have the Nanjing project, which is filling up nicely. We have about 100 residents now. And we are also looking at contracts in China with the likes of Ping An where we have signed an agreement. And so that's the second one. And then the third one is we have a very strong retail business in Vietnam. And so on the back of that, we are looking at creating a Vietnam retail fund as well, building on Saigon Center at South Phase and then we're going to be launching Hanoi Centers. So that's the second group. And then the third group would be people who are managing that non-core portfolio, right? So both in terms of monetisation, but also optimization. Actually, Sean is right here is leading a project called [indiscernible] for our Spring City project in China, which is really to drive up revenues and manage costs. So we have teams that we do focus on the existing portfolio, which we call now non-core and to get the most value out of it. And that leads to a lot of these cost savings that we're talking about, right? So I think the real estate division has contributed a lot to that $88 million, and that's by exiting from projects. So for example, the Myanmar hotel that we sold a few years ago, that was a lot of head count that we were able to separate from, and we also more recently got out of the Philippines. So just culling the portfolio will help us to generate value as well as savings.
Chin Hua Loh: Okay. I see Pei Hwa, yes.
Pei Hwa Ho: Pei Hwa from DBS. Two questions. First one is on infrastructure, also the Sakra plan. Just trying to understand the current -- how much of the capacity has been contracted? What's the strategy in terms of this contracting? Second question is on dividend payout policy. We used to mention that we intend to pay out with 50% to 60% of our core profit. With the New Keppel, how does that affect our payout going forward?
Chin Hua Loh: Okay. Maybe, Cindy, you want to take the first question on Sakra.
Joo Ling Lim: So Sakra Cogen is the most efficient state-of-the-art turbine technology that will be planted in Singapore. So suffice to say, of our entire generation capacity of 1.9 GW by 2026, we are sufficiently contracted for a large part of this portfolio beyond 3 years.
Chin Hua Loh: Okay. I think on the dividend policy, as we always will tell you, we don't have a dividend policy, but we've been -- we know dividends are important to our shareholders, and we've been paying somewhere around 50, 60. In fact, we've been drifting more towards 60 and above. And I think this is really also as we get more visibility on our earnings, as they become more recurring versus what it was maybe 5, 6 years ago where a large portion of our earnings are actually very trading-oriented, very -- a bit more volatile, we are able to then take a view on how much of the profit we can actually pay out the dividends. And we know that dividends are important. So all I can say is that we will always put that in mind. But I think the other part is that as we grow the New Keppel, I hope that investors will also see that there's a value in the growth of Keppel. But ultimately, it's total shareholders' returns. So we are very focused on total shareholder returns, which includes both dividends and share performance. Yes, Dexter, right?
Unknown Analyst: Congrats on the results. Can I ask one quick technical question first. On your non-core assets, right, do you actually have a breakdown of -- exact breakdown of exactly what those assets are?
Chin Hua Loh: We know these assets, obviously. Otherwise, there won't be a portfolio. But I think you understand that there's some commercial sensitivity in terms of what we can share. I think we have given you some broad outline, correct.
Unknown Analyst: Yes. So on that respect then, I see on Page 21, obviously, you did give a general breakdown. Can I check, but most of your residential landbank, for example, is in China. So it's fair to assume that most of the exposure in terms of this $14.4 billion would be in China then?
Chin Hua Loh: No. That's not the right assumption because landbank in China has reduced significantly. I think we started divesting our landbank since 2017. So I think at that time, we probably had about, in China, over $3.2 billion...
Lu-yi Lim: $3.1 billion. That's just a residential landbank. So we have reduced that to $1.1 billion.
Unknown Analyst: I see. So in the case, what's the -- is there a sense of what's the geographical exposure of that landbank that's going to be...
Chin Hua Loh: Again, I think if you kind of our -- you know that we have landbanks in China, in Vietnam, a little bit left in Singapore.
Unknown Analyst: Okay. Just a few quick ones. For Louis, can I ask you guys mentioned, I think, that you guys saw further losses in the senior living. Just want to check, can you give us a color or numbers on that as well? And second one on Singapore's resi market. Can you give a sense on what kind of buyer base on what kind of -- what's interest right now [indiscernible] residential the residential, I assume [indiscernible] residential. And one question for Mr...
Chin Hua Loh: Maybe you ask one question at a time. Louis?
Lu-yi Lim: Okay. So the second one was Singapore resi and the first one, again, sorry.
Unknown Analyst: I think you guys mentioned further losses in senior living.
Lu-yi Lim: Thank you for the question. So as you know, we are incubating the business in Asia. So we are pushing that to get to profitability. So we're trending nicely in terms of the occupancy. So we look forward to that becoming profitable soon, but the extended losses was also because we completed the acquisition of the Watermark business in the U.S. And we have now installed a new leadership team who are really fixing the sales and marketing initiatives that have been driven, and we're seeing actually very good traction, right? So we expect that to return to profitability quite soon. As for Singapore, I'm pleased to announce that we are completely sold out of Keppel Bay. So we do not have any units left there. And we are almost 90% sold for 19 Nassim. So those are existing projects. So the market continues to be very buoyant. A lot of people tell me Singaporeans have a lot of money evidently, and we're glad for that, and we hope that to continue to be true because we look to launch Plot 6 beginning next year. It will be a high-end residential with incredible Feng Shui with the water in front of you, the hill behind you, and I'm sure there will be loads of buyers out there going after the 84 units, very scarce, products [indiscernible] commodity -- not commodity, scarce luxury products.
Unknown Analyst: Any interest from PRs as partners, so far?
Chin Hua Loh: I don't think we're going to go that far. I mean, it's not relevant to the question.
Unknown Analyst: Okay. Then 2 more or...
Chin Hua Loh: I think maybe you have one more question and then we leave the last question to someone else.
Unknown Analyst: So you mentioned your aspiration to be more like Blackstone, Brookfield and stuff like that [indiscernible] managers. I'm curious as to you usually publish figures on IRR, for example, is that something you would aspire to publish or be more transferable in future?
Chin Hua Loh: I think just to be accurate, someone asked me, which companies would be appropriate as peers, and I mentioned some of those names. I think we do believe that what Keppel brings is somewhat quite unique because we are not just an asset manager, but we are very strong in operations and operating income is a very large part of our earnings, so that's kind of one. What was your question again?
Unknown Analyst: So if you compared to peers like..
Chin Hua Loh: I think over time, we are always looking at how we can provide more information. But I think it's more relevant to the people that, for instance, when Chris, they raised new funds, you would expect that the LPs will actually do a very thorough diligence on the funds that we have, the track record. I think that is probably more critical for us to make sure that the LPs are comfortable with our track record. And so far, we've been getting good traction. We've been able to raise money. I think that's probably more important. Okay. One last question for Brandon, okay? Okay, one more for Siew Khee. She looks so disappointed. So one each, okay? We're are running a bit on short time.
Brandon Lee: Maybe can you let us know in the non-core portfolio, right? You mentioned that some selected property development projects and investment properties as well. So are these assets which we intend to divest into the funds or more details on that. And I think just squeezing one more again. Just -- you mentioned that these are -- most of the assets you are profitable. When you say profitable, does it mean that just operating standpoint or more including gains as well. [indiscernible]
Chin Hua Loh: I think -- well, first, I think profitable, meaning that if you look at when the group first bought into those assets, the historical cost, we could be sitting on some gains already, right? So it's not a collection of nonperforming assets, just to be clear. I think one key point I want to make is that this non-core portfolio is a bit like a long box. It means that this is it. So we are going to divest. We don't expect this non-core. We expect -- there's only 1 direction, the non-core portfolio will be dwindled down over time, okay? That's quite important. I think in terms of whether there's a possibility that they could be divested to a fund or a REIT, it's possible. I mean if you look at this asset here, KBT, I think if KBT was with us today, and is 100% owned by us on the balance sheet that it will be part of the non-core. And then you know the progress of KBT, we sold it to K-REIT, as I mentioned earlier. So then it became from non-core into REIT, which is our core business. Okay, Siew Khee. You have the honor of the last question.
Lim Siew Khee: Sorry, just going back to connectivity. I have to pick.
Chin Hua Loh: I give you 2 questions.
Lim Siew Khee: So just on connectivity. How much is MVNO wholesale in your consumer business in terms of EBITDA?
Chin Hua Loh: You're going to give my percentage. I don't think.
Manjot Singh Mann: No, I don't think I can share that number.
Lim Siew Khee: Okay. Okay. And then the other one is knowing that you're looking at New Keppel, so you have been asking what is remain in real estate. So we can assume that because you remove the development column in the horizontal reporting in real estate. So meaning there won't be any more to that anymore, actually any losses however will go into non-core, right? But the operating is just miraculously 0 this half, although we had extended losses in senior living. We just like give us a bit more [indiscernible] it's a bit like lumpy up and down, so quite hard to actually look into that sale.
Chin Hua Loh: Again, I think maybe don't try to -- I mean the value of the non-core is we told you what it was. It has a whole carrying value. And the goal is -- our goal is to monetise it.
Lim Siew Khee: I'm referring to the operating in...
Lu-yi Lim: The sponsor statement. So maybe just to also add on Siew Khee. I think the way to it's similar to a question that was asked earlier on. The operating side continues to have fair value and gains for the assets that we have in New Keppel. Obviously, with all the -- some of the senior living assets on [indiscernible] as well, right? So it just so happens that you're looking at 0 because what we have for this particular half kind of offsets the numbers that we have, which is by operating column is 0. But I think what Chin Hua has highlighted also there's a few questions around what is non-core. For us, in terms of the numbers that you see in New Keppel now, it's squarely aligned with the strategy that we have in each of these segments. So real estate is no different to others.
Lim Siew Khee: For sure. I just wanted to just clarify on the operating [indiscernible] looking at you're incubating new business kind of -- got it. Thanks.
Chin Hua Loh: Okay. Thank you very much for your time for attending this briefing, and thank you for those online as well as those that turn up. Thank you very much.